Operator: Hello, and welcome to the Janus International Group Third Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the call over to your host, Ms. Sara Macioch, Senior Director, Investor Relations of Janus. Thank you. You may begin, Ms. Macioch.
Sara Macioch: Thank you, operator, and thank you all for joining our earnings conference call. I am joined today by our Chief Executive Officer, Ramey Jackson; and our Chief Financial Officer, Anselm Wong. We hope that you have seen in our earnings release issued this morning. We have also posted a presentation in support of this call, which can be found in the Investors section of our website at janusintl.com. Before we begin, I would like to remind you that today's call may include forward-looking statements. Any statement made describing our beliefs, plans, strategies, expectations, projections and assumptions are forward-looking statements. The company's actual results may differ from those anticipated by such forward-looking statements for a variety of reasons, including, but not limited to, tariffs, interest rates and other macroeconomic factors, many of which are beyond our control. Please see our recent filings with the Securities and Exchange Commission, which identify the principal risks and uncertainties that could affect our business, prospects and future results. We assume no obligation to update publicly any forward-looking statements and any forward-looking statement made by us during this call is based only on information currently available to us and speaks only as of the date when it is made. In addition, we will be discussing or providing certain non-GAAP financial measures today, including adjusted EBITDA, adjusted EBITDA margin, adjusted net income, adjusted EPS and net leverage. Please see our release and filings for a reconciliation of these non-GAAP measures to their most directly comparable GAAP measure. On today's call, Ramey will provide an overview of our business. Anselm will continue with a discussion of our financial results and 2025 guidance before Ramey share some closing thoughts, and we open up the call for your questions. At this point, I will turn the call over to Ramey.
Ramey Jackson: Thank you, Sara, and good morning, everyone. We appreciate you all joining our call today. I'd like to highlight a few key themes as I begin my prepared remarks. First, our team continues to execute in an operating environment that remains challenging. Second, we have confidence in the long-term fundamentals of our end markets we serve, reinforced by the stability of our backlog and pipeline. And finally, we believe our flexible financial profile and solid cash generation underpin the resiliency of our business model and allow us to adapt to changing market conditions. For the third quarter of 2025, Janus delivered total revenue of $219.3 million down 4.7% from the third quarter of 2024. Adjusted EBITDA was $43.6 million, up 1.2% compared to the prior year. Anselm will expand further upon drivers of these results shortly. Moving along to a discussion of our sales channels. Total self-storage saw a revenue increase of 3.7% and on the New Construction side. This was driven by strength in our International segment, which more than offset continued softness in the North American market. The R3 sales channel benefited from strength in the door replacement and renovation activity. Our Commercial and Other sales channel decreased 20.1% primarily driven by declines in our TMC business due to project timing as well as weakness in the LTL trucking industry stemming from broader economic impacts. TMC accounted for approximately 70% of the decline in revenue in the quarter. As we have noted before, the TMC business can be somewhat lumpy and will ebb and flow throughout the year. Additionally, we continue to experience overall market softness for commercial sheet doors. Despite the revenue decline, we are still seeing growth in other areas of our commercial business including rolling steel and our multiyear effort to get specified for certain architectural requirements. We believe the more comprehensive suite of offerings we have worked to develop is helping to build upon our position in the commercial market. Adoption of our Noke Smart Entry system continues to progress with 439,000 installed units at quarter end, representing an increase of 35.9% year-over-year. The latest addition in our line of Noke Smart Entry products, Noke Ion has been well received by the industry. The smart locking solution is low voltage powered can be customized and enhanced features like LED lights and motion sensors and is designed and optimized for all Janus self-storage and commercial door products for both New Construction and retrofits. We're pleased with the performance of this business and in particular, the acceleration of interest from the large institutional customers. We continue to see opportunities for further expansion as operators explore avenues to effectively manage their costs, prevent theft and enhance tenant satisfaction. In the third quarter, Janus continued to invest in innovation and expand our offerings to drive long-term growth across our portfolio. Through our BETCO brand, we announced a comprehensive expansion of our metal decking product line. This new range of custom metal decking system provides design flexibility to meet the unique structural and architectural demands of self-storage development and redevelopment. We also launched a redesigned web portal for our Noke Smart Entry platform, marking another milestone in our ongoing commitment to delivering seamless enterprise-level experiences for self-storage owner operators to run their facilities in a more effective and efficient manner. From a financial standpoint, our strong business model and cash flow generation should allow us to be opportunistic with regard to our capital allocation priorities. During the quarter, we continued our share repurchase program and are consistently evaluating M&A opportunities, which remain our top capital allocation priority. Despite sustained high interest rates, we are encouraged by the fundamentals of our business and their capacity to drive long-term growth. The self-storage industry remains resilient and continued consolidation presents growth opportunities for our R3 business. With an aging installed base and in the face of liquidity constraints, we believe facility owners will be encouraged to focus their capital allocation on existing properties. With positive industry tailwinds, coupled with our significant scale and financial discipline, we believe we are well positioned to deliver long-term shareholder value. With that, I'll turn the call over to Anselm for a further review of our financial results and updates to our 2025 guidance. Anselm?
Anselm Wong: Thank you, Ramey, and good morning, everyone. As Ramey shared, our team has continued to focus on execution in a tempered operating environment. For the third quarter, consolidated revenue of $219.3 million declined 4.7% as compared to the prior year quarter. In total, our self-storage business was up 3.7%. New Construction increased 5.5% and R3 was up 0.7% for the quarter. The growth in revenues for New Construction was driven by strength in our International segment which more than offset continued weakness in North America. The increase in R3 revenue was driven by increases in door replacement and renovation activity. In the third quarter, our International segment saw total revenues increased to $28.3 million, up $7 million or 32.9% compared to the prior year, driven primarily by growth in New Construction. For the quarter, revenue in our Commercial and Other segment declined by 20.1%. Approximately 70% of the decline in revenue was attributable to our TMC business due to project timing as well as overall weakness in the LTL trucking industry resulting from tariff and economic impact. As Ramey noted, the TMC business can fluctuate throughout the year depending on the timing of jobs that are completed. While we continue to see softness in the commercial sheet door market, we are encouraged by the strength we are seeing in both rolling steel and the carport and sheds business. On a consolidated basis, the impact of revenues for the quarter was roughly 60% price and 40% volume. Third quarter adjusted EBITDA of $43.6 million was up 1.2% compared to the third quarter of 2024. This resulted in an adjusted EBITDA margin of 19.9%, an increase of approximately 120 basis points from the prior year period. The increase in margins year-over-year is primarily attributable to the prior year being negatively impacted by adjustments to our provision for credit losses, which was partially offset by volume declines and the impact of geographic segment and sales channel mix. We continue to see the benefits from our previously announced cost reduction program. As a reminder, we expect to realize approximately $10 million to $12 million in annual pretax cost savings by the end of 2025. For the third quarter, we produced adjusted net income of $22.6 million, up 1.3% compared to the prior year period and adjusted EPS of $0.16. We generated cash from operating activities of $15 million and free cash flow of $8.3 million in the quarter. On a trailing 12-month basis, this represents a free cash flow conversion of adjusted net income of 171% and Capital expenditures in the quarter were $6.7 million. We ended the quarter with $256.2 million in total liquidity, including $178.9 million of cash and equivalents on the balance sheet. Our total outstanding long-term debt at quarter end was $554 million, and net leverage was 2.3x, within our target range of 2 to 3x. These liquidity levels provide us ample financial flexibility and allow us to execute on our capital allocation priority. During the quarter, we repurchased approximately 82,000 shares for $800,000 as part of our share repurchase program. With the additional $75 million share repurchase authorization approved by our Board of Directors earlier this year, the company had $80.5 million remaining on our share repurchase authorization at the end of the third quarter. Subsequent to quarter end, we are also pleased that S&P upgraded our credit rating from B+ to BB- with a stable outlook. This recognition reflects our resilient business model, balanced approach to capital allocation and consistent cash flow generation and profitability. Now going to our 2025 guidance. Based on our year-to-date results, current visibility into our backlog and end markets and business trends and conditions as of today, we are updating our full year 2025 guidance for revenues and adjusted EBITDA. We expect revenues to be in the range of $870 million to $880 million and adjusted EBITDA to be in the range of $164 million to $170 million, reflecting an adjusted EBITDA margin of 19.1% at the midpoint. While we anticipate revenues in the fourth quarter to be largely in line with the third quarter and the midpoint of the guide remains intact, we now anticipate EBITDA margins to come down from our original guidance, primarily driven by geographic and product mix. We continue to anticipate the free cash flow conversion of adjusted net income will be above the target range of 75% to 100% for 2025. Please refer to the presentation we have posted for additional details on our key planning assumptions for 2025. Thank you all for your time. I will now turn the call over to Ramey for his closing remarks. Ramey?
Ramey Jackson: Thank you, Anselm. Our team has continued to focus on factors we can control in a dynamic environment. Supported by our balance sheet and cash flow foundation, we will continue to develop our innovative suite of solutions to further build upon our industry leadership position and invest for future growth. We believe we will be well positioned in our industry when an inflection point in the operating environment does occur. Looking ahead, we will continue to execute on our strategic plan as we look to drive long-term value creation for all of our stakeholders. In closing, I'd like to express my appreciation to our team, customers and our shareholders for your support. Thank you again for participating on today's call. Operator, we would now like to open up the lines for Q&A, please.
Operator: [Operator Instructions] We'll take our first question today from Dan Moore with CJS Securities.
Will Gildea: This is Will on for Dan. Just looking at the guidance -- looking at the guidance, revenue is unchanged, but EBIT is lower by 10% at the midpoint. So we're looking for something in the 19% margin range versus 21%. Can you add some more color and help us rank order or bucket the delta between mix, higher input costs, including tariffs and other factors?
Anselm Wong: Sure. Biggest thing was really product mix and in the kind of segment mix, where the sales came from. If you actually noticed when we print the Q, you'll see that international sales were up meaningfully. So there's a lower margin versus kind of in our North America business. So the majority is there, tariffs is really not material and neither was input costs.
Will Gildea: Very helpful. And then looking at your backlogs and quoting activity, particularly from your core REIT customers. What does it tell you regarding their plans and budgets for growth for both New Construction and R3 related spend as we look into 2026?
Anselm Wong: At least what we are seeing right now, at least for the current time, the backlog in the pipeline looked pretty stable. I wouldn't say there's anything that's changed from last quarter where we saw was fairly stable.
Operator: We'll take our next question from Jeff Hammond with KeyBanc.
David Tarantino: This is David Tarantino on for Jeff. Starting with commercial, could you give us some more color on the weakness in TMC, how much is timing versus the softness in the end markets? And then maybe around the unchanged midpoint in the overall sales guide, how should we think about the assumptions between the end markets and what gives you the confidence that this is more down to timing and should improve moving forward?
Anselm Wong: Yes. As we said about TMC, it's really -- there's 2 things there is that a lot of their projects are pretty large projects that get impacted by weather, get impact the decision by the customer. So it's really hard to predict kind of what quarters certain projects lean in because of those decision points. So a lot of it I would say was a push out of at least from a visibility point of a project that we're aware of. Second, I think if you know that the LTL market and the customer is there, it has been softer due to the reduced volume of transactions due to the tariffs. So we are seeing a little of that pushback in terms of opportunities there because of that. But in general, most of our TMC business is R&R. So at some point, you're going to have to do some of the repairs. So I think there's just some timing that we expect for some of the projects that are being pushed out.
Ramey Jackson: Yes. Just to close, I mean it's -- we remain excited about the TMC business. It's a really good business and a good industry. So we're very optimistic about the growth profile of that business.
David Tarantino: And is it fair to think within the change midpoint of the sales guide, maybe commercial is a little bit lower in self-storage higher? Is that -- am I thinking about that correctly?
Anselm Wong: If you look -- if you do the implied you'll see it's a little lower for both of them just to get to the implied Q4. But I don't think commercial will be as bad as Q3 in terms of decline.
David Tarantino: Okay. Great. And then maybe in self-storage, can you dig into what's driving the strength in international and maybe how we should expect that moving forward? And then maybe can you just give us some color on what you're seeing on the ground and North America and how that's played out relative to your guys' expectations?
Ramey Jackson: Yes, I can start. Look, I mean, there are certain pockets internationally that are undergoing extreme growth mode. We kind of revised our go-to-market strategy moving forward, and it matters in terms of being in the countries that you serve. And so that's playing out, and we're excited about that. And in addition to that, around the international business, our Noke adoption is becoming more standard. So we're seeing a lot of acceleration as with door and hallway sales being standard with our Noke offering. And then on the self-storage piece of it in North America, no change from the past few quarters. The institutional operators are accelerating development. They're using this opportunity to gain market share. And then the noninstitutional are pretty much on the sidelines. But one positive thing that we are seeing with noninstitutional is they have a lot of construction ready sites. So they're at a good point to when the macro turns, they'll be able to accelerate development as well. And then on the R3 side, same thing. Consolidation matters, M&A matters to us in terms of R3 revenue from a rebranding perspective and then unit mix optimization, being able to rightsize the sites continue to drive R3.
Operator: We'll take our next question from John Lovallo with UBS.
Spencer Kaufman: This is Spencer Kaufman on for John. The first one, I think if we were kind of back out or back into the impact from TMC, I think it would be like an $11 million impact in the quarter. I guess, one, is that roughly what it was? And then two, are you expecting to sort of recover that in the fourth quarter? Or does this kind of get pushed into 2026?
Anselm Wong: Yes, that's about the approximate value if you imply it. And it's going to be a push, as you expect because there's certain jobs we can only do in certain amounts in the quarter. So there's definitely a push into Q4 and then subsequently into 2026.
Spencer Kaufman: Okay. Got it. And I think typically, sales in the first quarter are a little bit softer than the rest of the quarters, which usually leads to lower EBITDA margin sequentially. Is that how you guys are sort of thinking about 1Q at this point? Or are there any unusual items kind of similar to what happened in 4Q '24 to 1Q '25?
Anselm Wong: Yes. We haven't disclosed anything yet, obviously, on 2026. So I think I'd say at this point, it's just we'll probably refer to our next quarter earnings call to really discuss that.
Spencer Kaufman: Okay. Fair enough. If I could just squeeze 1 more in. Just on the tariff side, recognizing it's pretty small for you guys. I think that you haven't really changed the outlook for sort of the annualized impact of $6 million to $8 million on an unmitigated basis. But if I look in the slide deck, I think you guys may have admitted in the footnote this part about securing the alternative sourcing for components and that you anticipate the productivity and commercial actions will offset a lot of that exposure. I guess is there anything to read into it to why that's not in the slide deck anymore?
Anselm Wong: No. We're still doing the same thing like we said. We're mitigating and looking at alternative sources. We've already done some of the actions to that. So I don't think it's implying anything. We're still on track for that.
Operator: We'll take our next question from Phil Ng with Jefferies.
Philip Ng: I appreciate all the color. I guess, first on your self-storage business in the U.S., appreciating TMCs lumpy in nature, but it sounds like a lot of the growth is coming from the international business. So when you guys had to unpack the North American self-storage business, is it kind of unfolding like what you expected, particularly in the back half of this year?
Anselm Wong: Yes. It's probably -- the only thing I would say is that the R3, as we talked about, acceleration is not happening as fast as we would have liked. Obviously, we don't predict that timing. It was our best guess in terms of that piece. But I think the balance of it is kind of coming what we expect in New Construction, but it's just the R3 piece is a bit slower in terms of growing where we would have thought it would be.
Philip Ng: And that's mostly in the institutional side of things or noninstitutional side? Where it's been a little more...
Anselm Wong: Yes, institutional in large REITs.
Philip Ng: Okay. All right. That's helpful. And in terms of the color that you shared earlier about how -- Ramey, you shared about how a lot of your noninstitutional customers have construction-ready sites. How quickly can they react? I mean I guess, what should we be monitoring that from the outside looking that would be indicative of perhaps things picking up? Is it rates coming down, liquidity and improving consumer confidence? Just kind of help us think through what are the nuggets that we should be looking from the outside? And if those things unfold, how quickly could that translate to your volumes?
Ramey Jackson: Yes, that's hard to predict. Great question, by the way. But all of the above, I mean in terms of the macro, liquidity matters, interest rates, I mean, the 10-year treasury keeps bouncing around. But I think more than anything is the confidence is what we're hearing for a stronger tomorrow in the macro. But what we've seen, we've mentioned several times on these calls that activity in the pipeline remains very strong. And so that gives us optimism that our customers will be ready to dive in as quickly as possible. That's something that hasn't happened in previous downturns. Usually when things slow down, everything slows down. But that has not been the case in terms of the amount of work that we're doing on the design side of it and the quoting in the pipeline. So we're really optimistic that once things do turn that it will accelerate. And on the timing, it's hard to tell. What I do know is I would classify a lot of these sites are shovel-ready, so they have the property. It's just a matter of getting construction started.
Philip Ng: So let's say if they decided to move today, just in terms of construction cycle when your products come in, is that 6 months out? Or are you pretty early in that construction cycle in terms of the process?
Ramey Jackson: Yes. It really depends on the mix. I mean, a large part of our go-to-market strategy has been end-to-end building solutions. So it's not only the door and hallways. And so with that being said, the projects that we're actually doing the buildings on will start a lot quicker. But 3 to 6 months is probably a good number for that.
Philip Ng: Okay. And I'll sneak one more in Ramey. From a raw materials standpoint, how are you guys set up? Because I believe you purchased all of your steel domestic. So you don't really have that steel tariff peaks, but steel prices are certainly still higher. You had a lot of costs hedged out for good parts of this year. So when you look at the '26, I suspect your cost is going to go up. Have you started bidding work at these elevated prices? And are you able to pass it through?
Ramey Jackson: Yes. It's actually the opposite. I'll let Anselm speak to the...
Anselm Wong: Yes. If you look at the -- if you look at the steel prices, I think there was that trend to go up. But then because there has not been the demand for it, it's actually held pretty low. So if you look at it right now, and obviously, you know how we buy steel is that we've already bought steel going into next year. It's been fairly stable, surprisingly in terms of where the steel price has been. So I wouldn't expect a large change at this point for the early parts of next year.
Operator: We'll take our next question from Reuben Garner with Benchmark.
Reuben Garner: So you've got the $10 million to $12 million in cost initiatives that you've had in place this year. How much of that has been realized so far? How much will carry into next year? And I guess, if we don't start to see some significant changes in demand, are there more things that you can do to reduce the cost structure? Or is this the kind of situation where you'd likely ride it out? And because you're optimistic about the long-term dynamics in the industry?
Anselm Wong: No. I think if you look at the casting, we are on track already. You saw what we posted. We're about 70% of the savings already. So we should be in that range we talked about the 10% to 12% for the year. In terms of further costs, I think we're always looking. So Ramey and I are always pushing business to look at opportunities. So I would say there's definitely more opportunity there. We're already working on a few just in preparation if it does, the demand still stays low. So there's definitely more opportunity.
Reuben Garner: Okay. And then it looked like your inventory picked up as a percentage of revenue I don't know if it's just a one-off. Was there anything unique there? Would we expect that to kind of go back down in the fourth quarter and beyond?
Anselm Wong: Yes, definitely. If we buy the steel, our volume has been a bit lower than we would have expected. So you would expect the inventory to go up slightly due to compared to the original forecasted volume were there. So I think it's just a slight blip there we had to have -- the inventory was not at the volume that we expected. But our expectation we'll burn it off as we go through the rest of the year.
Reuben Garner: Okay. And then last one for me. You mentioned Noke successes internationally. How do things stand domestically? I assume utilization rates have come in somewhat maybe a better time to make those kind of changes that would be necessary to move to the Noke system, at least now versus a couple of years ago? Any signs that an acceleration around the way. I know you've been waiting or looking for a larger institutional player to kind of make the move on that? What are the chances that that's around the corner?
Ramey Jackson: Yes, that's a good question. We mentioned in our comments that the institutional activity has certainly picked up and I think it's really a testament to Ion. It's really proven itself in terms of design, performance, stability and a price point that the market is looking for. And then you've heard us talk about security. It's really a problem for the industry. And resolved a lot of the security issues. One of our larger clients has reported a 90% reduction in theft with that product line. So we continue to be optimistic and looking forward to driving additional use cases throughout the sector, but couldn't be happier.
Reuben Garner: So just a quick follow-up. I mean is it likely at some point that there's like a step function higher, like where there's a large adoption?
Ramey Jackson: Yes.
Reuben Garner: Or do you think of more of -- okay, all right. So we're still -- so that's still in the cards.
Operator: And we'll take our next question as a follow-up from Jeff Hammond with KeyBanc.
David Tarantino: This is David again. Just a quick follow-up on the pricing trends. It was largely stable sequentially. So could you just give us some more color on how we should expect this to evolve moving forward? And maybe into next year just based on the actions you've already implemented to date?
Anselm Wong: Yes. I think for related to this year, we expect something similar. But again, we haven't looked into make sure what the impact will be.
Operator: And there are no further questions on the line at this time. I'll turn the program back to Ramey Jackson for any additional or closing remarks.
Ramey Jackson: All right. Thank you all for joining us today. We appreciate your support of Janus and look forward to updating you on our progress. Have a great day.
Operator: This does conclude today's program. Thank you all for your participation, and you may now disconnect.